Operator: Ladies and gentlemen, good morning. My name is Abby and I will be your conference operator today. At this time, I would like to welcome everyone to the Allied Properties REIT Fourth Quarter 2023 Earnings Conference Call. Today's conference is being recorded and all lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question and answer session. [Operator Instructions] Thank you. And I will now turn the conference over to Cecilia Williams, President and CEO. You may begin.
Cecilia Williams: Thanks, Abby. And good morning, everyone. Welcome to our Q4 conference call. Nan and J.P. are with me today. We'll each make brief comments and then answer any questions you may have. We may, in the course of this conference call, make forward-looking statements about future events or future performance. These statements, by their nature, are subject to risks and uncertainties that may cause actual events, or results to differ materially, including those risks described under the heading risks and uncertainties in our 2023 Annual Report, and our most recent quarterly report. Material assumptions underpinning any forward-looking statements we make, include those described under forward-looking statements in our most recent quarterly report. I'll start by describing sustained leasing activity. We're encouraged by the sustained leasing activity, which continued through the fourth quarter. The productivity of our portfolio also increased for the 18th consecutive quarter, and renewals were at healthy spreads to in-place rents. Considering that these spreads are on rates established in stronger markets, we're especially pleased with the results. We believe, we're at an inflection point and that leasing momentum, which accelerated in the last quarter of 2023, will continue through the coming year. Our concentrated portfolio of urban workspaces and mixed-use, amenity-rich neighborhoods, continues to appeal to knowledge workers. On to user experience. We focus intently on what we can control. That includes the quality of the user experience we provide, which we know from long experience is as important as the physical environments we create. We've been submitting ourselves to third-party scrutiny with respect to user experience for years to ensure that we're continuously improving. J.P. will elaborate on the specifics, which we're pleased with. Comprehensive team development. The Allied team continued to evolve in 2023. We continued our Board renewal process, and we implemented a succession plan empowering the next generation of leadership at Allied. Perhaps most importantly, we continued our ongoing successful efforts, to liberate talent and foster teamwork across the country. With strong, integrated team members, everyone contributes to the business in meaningful and measurable ways. We're increasingly organizing ourselves around assets rather than areas of specialization, with city teams managing our urban portfolios across the country. This gives us the benefit of expertise from multiple disciplines in optimizing our portfolio. More importantly, it creates various avenues for our talented team members' professional development, by enabling them to contribute beyond their functional areas. Implementation of a five-year capital allocation plan placing minimal reliance on the capital markets. With the sale of the UDC portfolio, we strengthened the balance sheet and reaffirmed our commitment to distinctive urban workspace. We believe in Canada's future, and much of the economic and cultural future is concentrated in our cities. While far from perfect, our cities continue to thrive and demonstrate resiliency. We're confident they'll continue to attract a disproportionate share of global talent, which drives economic and cultural growth and evolution. The year ahead, we're heading into 2024 with a lower level of economic occupancy than we've ever had. While confident that our leasing activity will translate into improved economic occupancy over the course of 2024, the timing is difficult to predict. The one thing I'm certain of, is that the entire Allied team across the country is dedicated to improving economic occupancy and is entirely confident of the outcome, despite the uncertainty as to timing. In summary, our portfolio will not only hold up well in this economic environment, as it has during past downturns. It will ultimately emerge stronger than ever, because of our integrated team, our operating platform, our solid financial position, and our unique and concentrated urban properties. With that, I'll pass it to Nan for a financial overview.
Nanthini Mahalingam: Thank you, Cecilia. Good morning, everyone. I'll provide a brief overview of our financial highlights. The fourth quarter was a strong quarter, for Allied and the first quarter reflecting the full impact of the disposition of our UDC portfolio. Our financial results in the quarter were solid and reflect our unwavering commitment to the balance sheet. Our FFO per unit was $0.614, 2.7% higher than it was in the third quarter. Similarly, our AFFO per unit for the quarter was $0.562, reflecting a 3.1% increase, compared to the third quarter. These metrics illustrate the contributions to income from our PUD portfolio. As our existing projects continue, to reach completion milestones. This will enable us to generate material amounts of EBITDA going forward. This was further enhanced by lower interest expense, due to the repayment of our unsecured facility with the proceeds from the UDC portfolio. Our weighted average in-place net rent per occupied square foot was $24.10 in the fourth quarter, a 4.3% increase from Q4, 2022, which reflects the increasing economic productivity of our space. Lastly, we're ending the year with our unsecured facility completely undrawn, resulting in $1.1 billion of liquidity. We have the financial strength, to continue operating and executing our strategy with minimal reliance on the public capital market. Thank you and I'll pass the call to J.P. now.
J.P. Mackay: Thanks Nan. While we continue to experience longer leasing timelines, we are encouraged by the level of activity across our portfolio. Q4 was our most active quarter for leasing activity in 2023, the results of, which are outlined in detail in our Q4 press release. Tour activity continues to be strong. We observed a 20% increase in tours in the quarter, compared to the prior year. In total, tour activity was 12% higher in 2023, compared to 2022, with a noticeable acceleration of tours in the second half of the year. Uses represented by touring organizations continue to be technology, education, life sciences, and medicine. As of today, we have more than 1.1 million square feet of leasing activity under negotiation, or at the prospect stage. At the very core of our operating platform, is an unrelenting commitment to user experience. For the past four years, Allied has retained Grace Hill Kingsley Surveys to assess user satisfaction within our portfolio. The results for 2023 were very encouraging. 100% of rating areas improved from the prior year. In addition, more than 80% of users were satisfied with Allied's commitment to sustainability, and more than 90% were satisfied with Allied's commitment to EDI. Most importantly, Allied's net promoter score, a leading indicator for tenant retention and leasing activity, was 250% higher than the industry average. The composition of our portfolio concentrated in mixed-use, amenity-rich urban neighborhoods, coupled with the strength of our operating platform and team, as validated by our user experience results, gives us tremendous confidence in the continued demand for Allied's distinctive workspace across the country. I will now turn the call back to Cecilia.
Cecilia Williams: Thanks, J.P. We'd now be pleased to answer any questions.
Operator: Thank you. [Operator Instructions] And we will take our first question from Lorne Kalmar with Desjardins. Your line is open.
Lorne Kalmar: Thank you and good morning, everybody.
Cecilia Williams: Good morning.
Lorne Kalmar: Maybe just first on the guidance. Looks like the guidance range for FFO is kind of flat, so down 5%. And I just wanted to get an idea of what you think needs to happen to reach the high end and what is contemplated in the downside scenario. Is it really mostly occupancy driven, or is there more at play there?
Cecilia Williams: Just to be clear, we have not provided guidance. That's what we were trying to make very clear in our press release. What we have provided is an indication of what we're striving for, which is flat metrics, while recognizing that there will be dependence on the timing of leasing materializing. We have not provided guidance.
Lorne Kalmar: Okay. Apologies for misunderstanding. And then maybe just moving on to West Georgia. I believe the property has been up and running for a little bit now. When do you expect to take it in - and what kind of needs to happen to facilitate that?
Cecilia Williams: It is 82% economically productive right now. The development is completed and there will be incremental leasing accomplished, at which point the permanent financing will be put in place. And according to the agreement, that's when we would buy into that property. So there just needs to be some incremental leasing done, and there's some currently under negotiation right now.
Lorne Kalmar: Is there a particular threshold - need to get to 90% as an example?
Cecilia Williams: I think once it's over 90%, then we can maximize the amount of permanent financing to put on the property, which would be ideal.
Lorne Kalmar: That makes sense. Fair enough. And then maybe just lastly, it looked like CapEx on the rental property has jumped up quite a bit this quarter. I was wondering if you could maybe give a little bit of color there and where you sort of see it trending over the next 12 months?
Cecilia Williams: It would be just normal course CapEx and I would expect 2024 to be similar to 2023. 
Lorne Kalmar: Okay. Thank you very much. I'll turn it back.
Operator: And we will take our next question from Jonathan Kelcher with TD Cowen. Your line is open.
Jonathan Kelcher: Thanks. Good morning.
Cecilia Williams: Good morning.
Jonathan Kelcher: I guess, I won't call it guidance, but on the outlook that you put out in your press release, I'm just trying to square your comments on leasing and leasing activity seemed fairly constructive or positive. And I'm just trying to square that with the fact that you don't expect any occupancy gains in the first half of the year on your outlook?
Cecilia Williams: It's really just a function of the extended lease up timeframes, Jonathan. So, there'll be leasing accomplished, but in terms of, let's say, cash generating leasing, we're expecting that to start in the second half of the year.
Jonathan Kelcher: Okay. And then you don't have a lot of rollovers this year. Are there any larger non-renewals that you're aware of in the 7% that you've got rolling this year?
Cecilia Williams: This year, no. No.
Jonathan Kelcher: Okay. So, it'd be fair to say that you expect to end the year above 83.7% occupancy?
Cecilia Williams: We're not giving any sort of indication to that metric, but you can read between the lines as we've described the first half of the year versus the second half of the year.
Jonathan Kelcher: Okay. And then the $1.1 million square feet of either under negotiation or perspective, like, how's the balance on that? Is it sort of 60-40 under negotiation versus prospects? Or how should we think about that?
J.P. Mackay: That's correct, Jonathan. That's an appropriate breakdown.
Jonathan Kelcher: Okay. And then just lastly, on your development program, it looks like you have roughly $200 million to complete the program. And the total NOI from that, I guess you're estimating $91 million to $103 million. How much of that $91 million to $103 million was in Q4 results? And how much of that NOI still needs to - still is going to be coming on in the next year and a half or so?
Cecilia Williams: So, just to give you some context on that, Jonathan, there was about $39 million in the 2023 results. I don't have the exact quantification of how much that was in the Q4 results, but I can get that to you later.
Jonathan Kelcher: Okay. That's it for me. I'll turn it back. Thanks.
Operator: We will take our next question from Mario Saric with Scotiabank. Your line is open.
Mario Saric: Hi. Good morning, and thank you for taking the questions. The first one, just sticking to development, I know you highlighted in the press release kind of the expected EBITDA that's kind of expected to come in in 2024. And then the kind of run rate EBITDA from the developments starting in 2026. I think it was [$20 million], $41 million, respectively. I think in the past, we've talked about potentially providing some FFO discussion on what FFO the developments could bring about. Is that something that you're open to doing today, or is that still work in progress?
Cecilia Williams: That's not something that we're open to doing at this stage, Mario.
Mario Saric: Got it. Okay. And then coming back to the outlook, striving for flat and then potentially up to 5% erosion. Just to clarify your response on the initial question, the delta between the two is primarily related to timing in leasing, as opposed to anything to do with your JV completion and how those are accounted for. Is that fair?
Cecilia Williams: No, that's absolutely correct. It is entirely based on timing of economic occupancy. Yes. Nothing to do with our joint ventures, yes.
Mario Saric: And when you talk about potentially 5% erosion year-over-year, does that pertain to each of the FFO per unit, AFFO per unit and same-store NOI? I ask the question, because if we look at what you're talking about from an occupancy standpoint in terms of going higher in 2024, and then if you look at the mark-to-market that you've disclosed in the MD&A, it looks like the expiring rent is about 7% below your estimated market rent for 2024. So when I think about potentially higher occupancy and still a pretty decent mark-to-market, just trying to reconcile that to how same-store NOI could erode up to 5%?
Cecilia Williams: That contraction of up to 5% is really 0% to 5% as it covers all three of the metrics being FFO per unit, AFFO per unit and same asset NOI.
Mario Saric: Okay. So, it doesn't necessarily mean that it could be up to 5% for each individual one?
Cecilia Williams: Exactly.
Mario Saric: Got it. Okay. And then just my last question, the capitalized interest was down $1.3 million versus Q3, but the capitalized G&A went up to $0.4 million versus Q3. Can you just explain the variance between the direction of those two?
Cecilia Williams: So, in terms of direction, the capitalized interest this quarter is mainly, because they've been transferred into rental portfolios, so certain properties have moved out of the PUD category, Mario, and that's why there is a little bit of a reduction there. The G&A is pretty much in line with previous quarters.
Mario Saric: Okay. So, the G&A, the capitalization amount went up a bit quarter-over-quarter. So, if properties are coming online, it doesn't necessarily impact the G&A capitalization the same, as it would interest expense?
Cecilia Williams: Exactly, because we did have some transaction cost-related capitalization, to the UDC portfolio, and that's probably where you're seeing the gap.
Mario Saric: Got it. Okay. Great. Thank you.
Operator: We will take our next question from Pammi Bir with RBC. Your line is open.
Pammi Bir: Thanks. Good morning. I just wanted to clarify the comments around occupancy, particularly with respect to the first half. You mentioned you expect no economic occupancy gains in the first half, but to clarify - like are you seeing there's potential for occupancy to actually drop through the first half and then your comments were clear on the second half that you expected to rise? But I just want to clarify the first half commentary?
Cecilia Williams: We're not going to be getting that granular at this stage, Pammi
Pammi Bir: Okay. And I think maybe looking a little further out to 2025, not necessarily guidance or anything, but I think you had talked about a sort of target, or expectation that you could get to 94% to 95% by the end of next year. I'm just curious how you feel about that at this point?
Cecilia Williams: I'm still feeling very confident that we will get back to a stabilized portfolio, which is in that 94% to 95% range, but I'm not going to be commenting on the exact timing of that.
Pammi Bir: Okay. Fair enough. Okay. Just on the developments for this year, I'm not sure if I missed it, maybe in the MD&A, but what's the outlook for spending this year?
Cecilia Williams: We have it in the cost to complete, right? It's on page 71. Pammi, on the MD&A, we do show the estimated cost to complete by project.
Pammi Bir: Okay.
Cecilia Williams: And there's a lot of progress nearing completion.
Pammi Bir: Okay.
Cecilia Williams: Yes. All of our development will be done by the end of next year. So, we're really at the tail end of the investment in development.
Pammi Bir: Okay. All right. Last one from me. In terms of any sort of residential intensification in the portfolio, can you maybe just share in terms of any opportunities that you've looked at to maybe monetize value? And is this something that you're looking at maybe doing more work on, or have you been approached by other parties, to perhaps explore some of that?
Cecilia Williams: We're looking at that really on the periphery. We do see the opportunity to intensify on sites that we already own with a residential component, really to build out what we think is the best way, to be community builders, which is with mixed-use sites. That being said, it's not our area of focus right now. Right now, we're focused on leasing up and optimizing our urban office portfolios.
Pammi Bir: Thanks very much. I'll turn it back. Thanks.
Cecilia Williams: Thanks.
Operator: [Operator Instructions] And we will take our next question from Gaurav Mathur with Laurentian Bank Securities. Your line is open.
Gaurav Mathur: Thank you. And good morning, everyone.
Cecilia Williams: Good morning.
Gaurav Mathur: And just focusing on the debt ladder this year, now there isn't a significant amount of refinancing in 2024, but for 2025, you do have the $200 million senior unsecured debenture and the $400 million unsecured term loan. Could you perhaps discuss where refinancing rates would be on both?
Cecilia Williams: Refinancing rates today, if we were to do a 10-year bond, what is it, Nan? Like 6.8% coupon?
Nanthini Mahalingam: Coupon.
Cecilia Williams: Yes.
Gaurav Mathur: Okay. And just lastly, from a macro perspective, given the broad decrease in office valuations on both sides of the border, could you perhaps speak to the Canadian lender's appetite for financing office assets in this environment?
Cecilia Williams: I mean, I think the higher quality assets are still able to find the financing that they need. We've been exploring as much on the secured side of debt financing, but we haven't I think we don't - other than the unsecured debenture market, which we haven't tapped in a couple of years, I think with established relationships, the financing tends to come easier. And certainly with a higher quality portfolio, I don't anticipate us having any trouble. I think it's the lower quality office assets that struggle more. And I think quality - is always the driving force behind the ability to get financing. So and I think having a strong balance sheet is also helpful in general.
Gaurav Mathur: Great. Thank you for the call, Cecilia. I'll turn back to the operator.
Operator: [Operator Instructions] And we will take our next question from Sumaiya Syed with CIBC. Your line is open.
Sumaiya Syed: Thanks. Good morning. Just firstly to follow-up on your comments around lease up and the timeframes, and just maybe a question for J.P. So what are more recent typically seeing timeframes looking like in your I guess ongoing conversations and how do they compare to, the more normalized timeframes you've seen previously?
J.P. Mackay: Right now we're seeing, as we've said, longer lease times on average anywhere from 12 to 18 months compared to pre-pandemic levels, which could have ranged between three to six maybe even nine months at the high end.
Sumaiya Syed: Okay. And then if you could just speak to the drivers for some of the non-renewals in the quarter, Adelaide Street, 99 Spadina, and any non-vacancy that could be on your radar?
Cecilia Williams: Sorry, I'm not sure what was the last part of your question? I understood the first part, the reason for non-renewals, which certainly we can speak to, but I didn't understand after that.
Sumaiya Syed: Yes. If there's any sort of known upcoming vacancies that are on your radar?
Cecilia Williams: Oh, I see. In terms of non-renewals, it's really related to just this economic environment. Companies have a harder time making long-term commitments with the uncertainty in the economy, particularly interest rates. So as stability returns and certainty returns, we do expect our level of renewal activity to improve. In terms of large maturities in the year, thankfully we don't have any significant ones in 2024.
Sumaiya Syed: Okay, great. And just lastly, just on the leasing side of things, where do you expect your tenant incentives to track for the year, maybe compared to what you saw in 2023?
J.P. Mackay: It's always deal specific. We have seen leasing costs stabilize. In 2023, our NERs were 10% higher than our NERs in 2022, but again, they are very much deal and unit specific. But generally speaking, we're seeing leasing costs stabilize across the portfolio.
Sumaiya Syed: Okay. Thank you. I'll turn it back.
Operator: And we have no further questions at this time. I will now turn the call back to Ms. Cecilia Williams for closing remarks.
Cecilia Williams: Thanks, Abby. And thank you everyone for joining our conference call. We'll keep you updated on our progress going forward.
Operator: And ladies and gentlemen, this concludes today's call and we thank you for your participation. You may now disconnect.